Operator: Greetings, and welcome to the Alliance Entertainment First Quarter Fiscal Year 2026 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Paul Kuntz. Thank you, sir. You may begin. Thank you.
Paul Kuntz: Before we begin the formal presentation, I would like to remind everyone that statements made on the call will webcast may include predictions, estimates, or other information that might be considered forward-looking. While these forward-looking statements represent the company's current judgment on what the future holds, they are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect the company's opinions only as of the date of this presentation. Keep in mind that the company is not obligating itself to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. Throughout today's discussion, management will attempt to present some important factors relating to the business that may affect predictions. You should also review the company's Form 10-K filed on 09/10/2025 for a more complete discussion of these factors and other risks, particularly under the heading "Risk Factors." During the conference call, management will discuss non-GAAP financial measures, including a discussion of adjusted EBITDA. Management believes non-GAAP disclosures enable investors to better understand Alliance Entertainment's core operating performance. Please refer to the investor presentation for reconciliation of each non-GAAP measure to the most directly comparable GAAP financial measure. A press release detailing these results crossed the wire this afternoon at 4:01 PM Eastern Time and is available in the Investor Relations section of Alliance Entertainment's website at aent.com. Your host today, Jeff Walker, Chief Executive Officer, and Amanda Gnecco, Chief Financial Officer, will present the results of operations for the 2026 ended September 30, 2025. Bruce Ogilvie, Executive Chairman, is also on the line and will be participating during the Q&A session. At this time, I will turn the call over to Alliance Entertainment's CEO, Jeff Walker. Thank you, Paul, and good afternoon, everyone.
Jeff Walker: I'm pleased to welcome you to today's call. We opened fiscal 2026 with strong momentum, delivering both top-line expansion and improved profitability. Revenue grew 11% year over year to $254 million, reflecting solid demand across physical media, collectibles, and direct-to-consumer channels. Adjusted EBITDA increased to $12.2 million from $3.4 million a year ago, a 259% improvement, while gross margin expanded 340 basis points to 14.6%. These results highlight the strength of our content portfolio, disciplined expense management, and the efficiency gains we are achieving through automation and the early benefits of our AI initiatives. At the same time, our Handmade by Robots brand continues to scale rapidly. New collectible launches this quarter drove exceptional sell-through and expanded retail placement, and we are seeing growing fan engagement across both our own sites and partner channels. This business has quickly become a pillar of our collectible strategy, and we expect continued strength through the holiday season. We also strengthened our corporate governance, welcoming two new highly accomplished independent directors, Dimitri Cosco and Sheila Bangler. Each brings deep expertise in finance, AI technology, and governance. Their experience complements our leadership team and supports the company's next phase of growth and innovation. Operationally, we are advancing our AI-powered sales transformation. The rollout of HubSpot Sales Hub and Microsoft Copilot is already improving lead prioritization, automating content creation, and enabling our teams to work faster and smarter. These tools are helping us convert opportunities more efficiently as we capitalize on our busiest quarter of the year. Finally, our exclusive content portfolio continues to expand. Through AMPED, we signed a new distribution agreement with Virgin Music Group, which adds another premium catalog to our growing roster of label partners. Combined with our ongoing success in film, gaming, and collectibles, these partnerships reinforce Alliance's position at the center of the physical media and pop culture ecosystem. Taken together, fiscal 2026 is off to a strong start. We are executing on our strategy, driving profitable growth, advancing technology adoption, and deepening our relationship across entertainment categories. As we move through the balance of the year, our focus remains on delivering consistent results, expanding our exclusive content base, and creating long-term value for our shareholders. This slide offers a quick snapshot of our performance over the past several fiscal years and on a trailing twelve-month basis through 09/30/2025. Over the trailing twelve months, revenue totaled nearly $1.1 billion, reflecting stable demand across our core categories and the return to year-over-year top-line growth we saw this quarter. Adjusted EBITDA reached $45.3 million, up from $36.5 million in fiscal 2025 and $24.3 million in fiscal 2024. That continued expansion demonstrates the structural improvements we have made in product mix and cost efficiency. Our adjusted EBITDA margin on a trailing basis now stands at roughly 4.2%, and in the first quarter alone, we achieved 4.8%, a level we view as the new baseline for fiscal 2026 and beyond. That margin durability reflects higher value content, automation benefits, and early productivity gains from our AI initiatives. Earnings per share rose to $0.38 on a trailing twelve-month basis, building on $0.30 last year and $0.09 the year before. The steady earnings progression highlights the efficiency and strength of our model, even in a balanced revenue environment. On the balance sheet, we ended the quarter with $3.2 million in cash, inventory of $121.7 million, and debt of $66 million, essentially flat versus 06/30/2025, but well below our year-ago levels. Our equity position grew to $108 million, reflecting stronger retained earnings and disciplined working capital management. Subsequent to quarter-end, we further strengthened our financial flexibility by closing a new five-year $120 million senior secured revolving credit facility with Bank of America. This agreement replaces our prior asset-based facility and reduces borrowing costs by up to 250 basis points, with $61 million of undrawn availability at closing. The new structure provides lower interest expense, longer duration, and greater liquidity to support both seasonal inventory needs and future growth initiatives. Together, these metrics show a company that's expanding margins, generating consistent earnings, and operating from a stronger financial foundation. We are entering the remainder of fiscal 2026 with the balance sheet, liquidity, and operating discipline to sustain that momentum. Before I hand it over to Amanda, I want to take a moment to revisit what makes Alliance such a unique platform: the engine that powers the collectibles value chain. At its core, Alliance Entertainment connects fans to music, movies, games, and collectibles they love. We sit at the intersection of content and commerce, curating, sourcing, and delivering products that celebrate pop culture across every format. Our model is built on a fully integrated ecosystem, from exclusive product development to omnichannel fulfillment. On the front end, we partner with more than 150 studios, labels, and manufacturers to source and create the most sought-after titles and licensed collectibles. Additionally, through our own brands, like Handmade by Robots, we design and distribute exclusive products that collectors cannot find anywhere else. Those products move through a centralized distribution and logistics network that reaches 35,000 retail locations and 175 online platforms worldwide. Whether it's a major retailer, a specialty store, or a direct-to-consumer order, our automation and fulfillment system ensure accuracy, speed, and cost efficiency at scale. From there, our omnichannel delivery model brings those products to life, serving both B2B partners and consumers directly through our own retail group, which operates sites such as deepdiscount.com, importcds.com, and moviesunlimited.com. This structure gives us complete visibility across the supply chain and allows us to respond quickly to demand shifts. Each business unit—AMPED Entertainment and Music, Alliance Home Entertainment and Film and Television, and our growing collectible segment—plays a specific role in that ecosystem. Together, they create a diversified portfolio that blends recurring distribution revenue with higher-margin proprietary content and collectibles. It's this combination of deep relationships, efficient infrastructure, and a focus on fan-driven categories that gives Alliance its competitive edge and supports the margin profile we delivered in the first quarter. With that, I'll now turn it over to Amanda to walk through the financial results for 2026 in more detail.
Amanda Gnecco: Thanks, Jeff. For the quarter ended 09/30/2025, we generated net revenue of $254 million, an increase of 11% from $229 million reported in 2025. Cost of revenue as a percentage of revenue improved from 88.6% to 85.4%, a 320 basis point improvement year over year. Gross profit increased 46% year over year to $37.2 million, with gross margin improving to 14.6%, up from 11.2% in the prior year period. Operating income increased nearly fivefold to $10.5 million, up from $2.1 million last year. Net income rose to $4.9 million, or $0.10 per diluted share, compared to $400,000, or $0.01 per share, in the prior year period. On an adjusted basis, EBITDA rose to $12.2 million, up 259% from $3.4 million a year ago, representing an EBITDA margin of 4.8%. That's nearly triple the prior year rate of 1.5% and aligned with the baseline we expect to maintain through fiscal 2026 and beyond. Overall, the first quarter delivered solid revenue growth, expanding margins, and continued financial discipline, a clear reflection of the progress we've made across both operations and product mix. Our financial improvement is grounded in a strong operational foundation. Alliance operates one of the most advanced entertainment distribution networks in North America, processing more than 15 million units each year and capable of scaling to over 260,000 daily units during peak demand. This scale allows us to manage both major new releases and seasonal surges efficiently, without compromising speed or accuracy. Our investment in state-of-the-art automation, including AutoStore and SureSort systems, has materially increased throughput and lowered per-unit handling costs. Those systems, combined with data-driven inventory management, enable us to move hundreds of thousands of SKUs across 76 countries while maintaining quality and consistency. We're also realizing significant cost efficiencies from these initiatives. Energy-efficient systems, reduced manual touches, and a flexible labor model are helping us control expenses even as volumes rise. That efficiency directly supports the 340 basis points improvement we've achieved this quarter. Just as important, these technologies protect product integrity and improve sustainability, minimizing waste and ensuring that every item reaches the customer in pristine condition. It's an advantage that builds trust with both retailers and consumers. While our operations are large, they're nimble and adaptable. Whether we're fulfilling a mass merchant order, shipping direct to consumer, or managing a limited collector release, the same infrastructure powers each channel. That versatility is what allows us to capture high-margin opportunities while maintaining discipline on cost. In short, the operational investments we've made over the past two years are delivering exactly what we intended: greater efficiency, better scalability, and sustainable margin performance. They give us the confidence that the profitability profile we achieved in the first quarter is not a peak but a new baseline we can build upon. One of the key strengths of our business model is our omnichannel distribution network that powers both B2B and direct-to-consumer growth. Alliance serves approximately 175 online retailers and more than 35,000 physical stores, giving us unmatched reach across entertainment and collectibles. Through this network, we connect fans and retailers with the products they love, whether it is vinyl, film, gaming, or licensed collectibles. Our direct-to-consumer has become a major revenue driver, now contributing 37% of total net revenue. We deliver this through both our own e-commerce platforms and drop-ship partnerships, which allow customers to access the industry's deepest catalog without retailers carrying physical inventory. This capital-light model expands our retail partners' online assortment while keeping working capital requirements low for everyone involved. On the B2B side, our relationships with leading national chains, independent stores, and specialty retailers remain a cornerstone of our business. We provide these partners with high-quality, in-demand products supported by robust fulfillment, automated replenishment, and seamless system integration. The result is stronger in-stock performance, faster delivery, and improved profitability for our retail customers. Our omnichannel platform is what makes Alliance so versatile. We can support a major studio release, fulfill thousands of individual collector orders, and manage retailer-specific campaigns all through the same infrastructure. This flexibility gives us a competitive advantage in a market where instant access, variety, and reliability are key. As retail continues to blend physical and digital experiences, our role as a trusted, technology-enabled fulfillment partner becomes even more essential. It's a model that scales efficiently, serves our partners well, and continues to drive meaningful margin contributions across the business. With that, I'll turn it back to Jeff for closing remarks.
Jeff Walker: Thanks, Amanda. As we think about the strength of our retail partnerships, one of the best examples is our role as category adviser for Walmart's video category. This designation reflects the depth of our expertise in physical media and the trust we've built with the largest retailer in the world. In this capacity, Alliance provides Walmart with data-driven analysis, consumer insights, and operational support that inform how the video category is planned, merchandised, and executed across both in-store and online channels. Our team delivers strategic guidance on assortment, casings, and promotional planning, helping Walmart align inventory and shelf space with real-time shopper demand. We also provide forecasting and analytics that highlight emerging trends, guiding their buying decisions and release timing. For Alliance, this partnership is more than a recognition of capability; it's a validation of the strategic value we bring to our retail partners. It demonstrates how our scale, data, and category knowledge go beyond distribution to help drive category growth across the industry. By pairing our operational excellence with deep consumer insight, we're not only supporting Walmart's success, we're strengthening the overall ecosystem for physical media and collectibles. Our exclusive distribution and license agreements provide a strong competitive edge. These partnerships secure Alliance unmatched access to premium and exclusive content pipelines, reinforcing our leadership position and ensuring we remain indispensable to both studios and retailers. Today, our exclusive distribution and licensing agreements collectively drive more than $365 million in annual sales and continue to expand across music, film, and collectibles. Within Alliance Home Entertainment, our exclusive licensing agreement with Paramount Pictures has become a major revenue contributor. Under that agreement, we now handle the full life cycle: creation, manufacturing, marketing, and retail distribution for Paramount's Blu-ray, 4K, and DVD catalog. The relationship has been a key driver of the 59% year-over-year increase in physical movie sales in the first quarter and continues to strengthen our position as the leading distributor of premium film and TV content in North America. Across music, our AMPED Entertainment division represents more than 110 label partners, giving us the industry's most diverse catalog of independent and specialty music content. In collectibles, we're expanding our owned and licensed offerings. Handmade by Robots, which we acquired in December 2024, has quickly grown into a cornerstone of our collectible strategy. We've expanded its retail footprint and licensing pipeline with upcoming releases featuring characters from Sanrio, Jurassic World, Peanuts, Sonic the Hedgehog, SpongeBob SquarePants, Toho, and others. All of which will begin rolling out through fiscal 2026. Our long-standing collaboration with Weta Workshop also continues to deliver high-quality collectibles and prop replicas from iconic franchises, while our new Master Replicas partnership adds another layer of premium fan-focused products. Together, these exclusive and owned brands form a powerful portfolio that drives high-margin revenue, deepens our relationships with studios and licensors, and reinforces Alliance's position at the center of the entertainment and collectibles ecosystem. Before we move to Q&A, I want to touch on our ongoing strategic M&A priorities. M&A has always been a core part of how Alliance builds scale and capability. Over the years, we've completed 15 successful acquisitions, each expanding our reach across content, collectibles, and fulfillment. Every deal has been grounded in the same principles: strategic fit, operational synergy, and accretion. Today, our pipeline remains active, but our approach is as disciplined as ever. We're focused on opportunities that extend our licensing relationships, deepen our collectibles portfolio, and enhance our e-commerce and fulfillment capabilities. That includes specialty brands, niche distributors, and complementary entertainment businesses that align with our capital-light model. Our recent success with Handmade by Robots is a great example of that strategy in action—an acquisition that's delivering strong performance, expanding into new retail channels, and opening the door to high-value licensing opportunities. We're now applying that same playbook to evaluate the next set of opportunities that can strengthen our position in the collectibles and physical media ecosystem. With the new Bank of America credit facility in play, we have both the financial flexibility and operational infrastructure to pursue these opportunities thoughtfully. And as we do, our focus will remain squarely on driving sustainable, profitable growth and building long-term value for our shareholders. We're entering the rest of fiscal 2026 from a position of strength, supported by exclusive content, advanced operations, and a proven ability to execute. The progress we made this quarter reinforces our confidence in that strategy, and we're excited about what comes next. Before we turn to questions, I want to take a moment to thank our employees across every division. Their hard work, creativity, and execution are what drive our success. I'd also like to thank our customers, partners, and shareholders for their continued support and trust in Alliance Entertainment. We're proud of the momentum we've built and committed to delivering on the opportunities ahead. Operator, we're ready to open the line for questions.
Operator: Thank you. At this time, we will conduct a question and answer session. You may press 2 to remove yourself from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star key. Once again, that's 1 to ask a question at this time. The first question comes from Thomas Forte with Maxim Group. Please proceed.
Thomas Forte: Great. Bruce, Jeff, Amanda, congratulations on the quarter. I have three questions. I'll ask them one at a time. The first question is, could physical media outperform this holiday versus prior ones due to the relative favorability when it comes to tariff status versus other categories, including apparel and toys?
Jeff Walker: Good afternoon. This is Jeff Walker, CEO. We are definitely seeing strong sales in all the entertainment categories right now. I think it's—I don't know if it's related to the tariffs in other categories and the minimal amount of tariffs in music and video, or actually no tariffs in music and video, but I think it's collectors who are excited about their collections. You know, movies, music, gaming, and collectibles are all huge gift items. And I think we're going to see a lot of people being gifted items, especially vinyl in particular this year.
Thomas Forte: Thanks, Jeff. And if anyone's listening, I look forward to vinyl on my holiday list. So if someone wants to give me something, vinyl will be greatly appreciated. So sticking with vinyl then, can you talk about the performance of Taylor Swift's "Life of the Showgirl" versus her last album, "The Tortured Poets Department," as a proxy for the current state of consumer demand for vinyl?
Jeff Walker: Well, I think a lot in the news there on Taylor. You saw some of the records that she broke with that. Interestingly enough for us, the Taylor Swift album—we did a lot of fulfillment for that album. None of it was booked into the quarter that we just reported. That street date was October 3, and we weren't allowed to ship anything out until October 1. So we didn't book anything in the previous quarter there or in the current quarter we just reported. I think one thing to keep in mind with all of the sales that she did on vinyl and CD, the CD sales for Taylor were extremely strong as well. And one of the things I've been saying about it is nobody had to buy a vinyl record or a CD of Taylor Swift. They can listen to her music on all the different digital and online platforms. So they're purely buying it because they want to collect something of their favorite artist, and they're huge fans of her. And that really goes to this—the conversation about all of our media products are for fans, and they're for collectors. And that's what we're feeding right into that. And I don't see that slowing down. People have collected music and video and gaming and other collectible items for centuries, in a sense. So that's right smack where we're at. The ability to listen to the music digitally doesn't derail people's desire to have something in their house that they can look at and that they can show off to their friends and so forth there.
Thomas Forte: Great. Thanks a lot. People in check.
Bruce Ogilvie: Tom, one thing I could just add to Jeff there. There is a—the consumer is wanting to own their content instead of renting it, and that also started to happen. There's a small little push in that area there, which is helping our business.
Thomas Forte: Excellent. And then, alright. So last one, and thanks for taking all my questions. So it sounds like your exclusive physical media deal with Paramount is doing incredibly well. What are your thoughts on forging exclusive deals with other studios?
Jeff Walker: Well, we're always working on new opportunities in the company. I do think that there's a good path there for studios to transition to Alliance to really run that aspect of the physical media for them. And we're in different levels of conversations with studios on that, big and small. There's a lot of studios out there that have fantastic content, and we're just continuing to show and prove that we're a great solution for those studios to maximize the sales of physical media for them. And the more that we continue to prove that, you know, quarter in and quarter out, the more that those opportunities will come our way.
Bruce Ogilvie: Yeah. Tom, one thing to add to that. We do our own physical distribution; it's not outsourced to a third party. That creates a tremendous advantage we have over anybody even thinking about trying to do what we're doing.
Thomas Forte: Wonderful. So thank you for taking all my questions, and congrats again on the quarter.
Jeff Walker: Thank you.
Operator: Thank you. The next question comes from Michael Kupinski with Noble Capital Partners. Please proceed.
Michael Kupinski: Thank you. Thanks for taking my questions. And I want to offer my congratulations as well. It's a great quarter. A couple of questions. I understand that Handmade by Robots contributed in the quarter, and I was just wondering, you had very strong results in collectibles. Did Handmade by Robots have broad retail distribution in the quarter? I was just wondering if you can just give me a little color of what we could expect, especially as we kind of go into the second quarter. Should we start looking for more of a significant impact to that brand as we go into the second quarter, maybe the third quarter? I'm just kind of wanting to get your thoughts on the impact of that brand on that segment.
Jeff Walker: Yeah. Hey, Michael. Good to hear from you. You know, Handmade by Robots, we acquired that almost a year ago. We've been really ramping up with licensing and new designs, new IP coming out. We have significant releases this month here in November. And we have some new licenses getting finalized with Disney and some of the other big licensors right now. I would say that for fiscal, we're doing well with the brand. For fiscal 2026 that we're in today, I don't think Handmade is going to make a huge impact on the overall financial aspect of Alliance. As everybody knows, Alliance is a big company, and we're really ramping that up. I think we're going to start to see a financial impact in fiscal 2027 and '28 with respect to Handmade as this continues to ramp up on the brand, and we continue to get more placement with retailers and so forth. We are continuing to add to the team, the Handmade team, to drive those sales and so forth going forward. So most of the growth in Alliance's revenue and profitability here in fiscal 2026 is not going to be attributed to Handmade. Even though it's on a significant growth pattern for that business, it just started small, and it's growing quickly.
Michael Kupinski: Thanks for that color. And so I want to go back to the vinyl question. Vinyl sales seem to be a little stronger than what I was expecting. I was just wondering if you can maybe give us your thoughts on what was the factor there. Certainly, you just mentioned that Taylor Swift wasn't a big factor in the quarter. So can you kind of give us some thoughts on what were the driving factors in vinyl in the quarter?
Jeff Walker: Well, we're seeing continuous consumer demand in vinyl across the board. I think also the artists in particular have really—there's been a lot of new releases, and I think top new releases are—top artists are having pretty strong following and success right now. And music overall is the category that consumers are gravitating to. And the vinyl continues to expand. And it's a pretty wide range, from all ages in the vinyl. And then there are some other additional components with vinyl, with reissues and some of the older catalog pieces of vinyl. They are reissuing those on a different color vinyl or some other aspect there, and that really helps build some more new demand to that particular vinyl piece.
Michael Kupinski: Gotcha. I think one last thing on that, I think a couple of very big artists from the past are looking at bringing out some of their vinyl in the near future in colored vinyl that has only been available in black vinyl. And I think things like that can really help support the vinyl sales.
Jeff Walker: Mhmm.
Michael Kupinski: Gotcha. And then, the movie segment seemed to obviously have an exceptional quarter, certainly benefiting from Paramount. And I'm just wondering if I maybe underestimated the Paramount aspect of that or if there were other maybe other significant lifts that's outside of the Paramount deal. And I was just wondering if you can just kind of frame for us the significance of the Paramount licensing agreement to the movie segment or if there were maybe other contributing factors that might have accounted for such strong results in the movie segment.
Jeff Walker: Yeah. I think overall, our movie division is doing pretty well. We are seeing some really crazy strong numbers with SteelBook, which is a collectible version of a steel package DVD. We're a big distributor on that for all the studios, and we're seeing really good sell-through there. In addition, it's a collectible SteelBook. It's a nice higher price point as well. And the numbers are pretty robust with SteelBook. With respect to Paramount, we've had solid releases, and we really spent a lot of time making sure that we've got all the catalog product out and we've got it all in stock. And our in-stock percentages are good. I think one thing to think about in Paramount—at the time that we picked up the Paramount business, the bulk of video DVD at this point is Walmart stores, Amazon, and Alliance. The three of us do the majority, almost 90%, of all the DVD sales. And Alliance supports a lot of other stores, including Barnes and Noble, a lot of e-commerce for Walmart and Target, and a lot of independent stores and so forth. That's our niche in it. So when we got the Paramount license business, we have our existing business that improved the margins from there. But we picked up the Paramount business to Walmart and Amazon. And that's what's driving some of our Paramount sales growth.
Michael Kupinski: Well, congratulations, and good luck on the rest of the year.
Jeff Walker: Thank you. We're looking for a great fourth quarter.
Operator: Thank you. At this time, I would like to turn the call back to Paul Kuntz for web questions. Please proceed.
Paul Kuntz: Thank you. Our first question we had is you mentioned serving as category advisor for Walmart's video business. Could you elaborate on how that role translates into incremental revenue or share gains for Alliance and whether that model could expand into other product categories?
Jeff Walker: So the category adviser role with Walmart—I think everybody needs to understand that this is an independent group of people that are Alliance employees that are dedicated to be the category adviser team for Walmart on behalf of all the studios. And so this team assists Walmart in their video direction with store planning, promotional aspects, and future plans in the video category. And so that team is there to represent all the studios and work with Walmart on strategic initiatives going forward. And so with that, they're not connected to our Alliance sales team that is focused on selling not only Paramount product but all of our distributed video product to Walmart and the sales aspect there. So the advisory role doesn't necessarily translate into extra revenue for Alliance. What it does translate into is confidence in Alliance and the team from Walmart, which is a big aspect going forward in our long-term strategies with all the studios and so forth. As you gotta realize that we are at Alliance, we're also the third largest physical account behind Walmart and Amazon with all the studios' product on physical product there. And then whether it could expand into other product categories, we are the—we're not—they don't have a specific category adviser for music. But the Alliance team, sales team, we do manage and sell all the vinyl and CDs at Walmart currently in that as well. One thing I want to mention that just for recall is the adviser role also is focused on the combination of the store strategy and the e-commerce strategy. And that's something that we're right in the middle of as we do all the e-commerce fulfillment for Walmart on music and video. And so that strategy there helps to coordinate all of that together so that it's really an omnichannel strategy for Walmart with respect to video and also for music.
Paul Kuntz: Thank you. And our next question, you talked about early benefits from implementing AI tools. From a simple standpoint, how are these tools helping your teams?
Jeff Walker: Oh, AI is great. We're hot on AI here right now. A couple of things we're doing. We've definitely rolled out Copilot as we're a Microsoft-based company here with our software. And we've got 280 people on Copilot license, actively working with that on a daily basis, helping them be more efficient in aspects of doing their roles, and our team is very excited about that. We have internal training programs and so forth in place, and even best practices calls that we're doing. And we're really seeing a big impact on that. I think we rolled that out in July or August of this year. And really look at it and say, you know, we've continued this role with that over this year, this twelve months, how much better in advance we will be next July with respect to that on the AI side. And then the last part is we also are rolling into a HubSpot implementation on our sales management, which also involves our AR team and our marketing team. That's really going to streamline business there, and that platform has a lot of robust tools and things leaning on AI strategies and abilities there.
Paul Kuntz: Great. Thank you. And our next question, you've talked about momentum heading into the holiday season. What are you most excited about from a product or partnership standpoint in Q2? And how is the holiday demand shaping up so far?
Jeff Walker: Well, holiday is shaping up pretty well. We're pretty excited about this quarter that we're in. We're seeing consumer demand pretty strong across the board. And we're just seeing solid numbers right now. I know vinyl's continuing strong, and our Handmade is on a roll right now as that's building. And on the video side, we're doing a lot of new strong things too. So we should have a strong quarter here.
Paul Kuntz: And our next question, you highlighted a significant 17% reduction in interest expense year over year. With the new Bank of America facility, what's the expected annualized savings? And how does that impact free cash flow trajectory in fiscal 2026?
Jeff Walker: Yeah. That was a big improvement for us going to Bank of America. We reduced our interest from SOFR four to a SOFR one and five-eighths. And at that type of difference, if you run about a $60 million borrowing across twelve months, I believe that's about a million and a half interest savings per year. And so we're in pretty good shape with that. And then, you know, we also will get the benefit or have been getting the benefit of the Fed rate reductions as that has been bringing down the SOFR as well on top of that. So as we move into January and the beginning of 2026, we're going to be sitting with a pretty nice interest rate cost going forward for calendar '26, so we're pretty happy about that.
Paul Kuntz: Thank you. And our next question, Handmade by Robots seems to have strong traction. Are owned IP products now meaningfully lifting blended gross margin?
Jeff Walker: I think I got most of that answer there with Mike earlier. It's overall margin—we're seeing good margin in Handmade by Robots. The overall sales volume is, you know, compared to our $1.1 billion in revenue, is not at the level that it's going to make a significant impact yet this year in fiscal 2026. But I think you'll start to see impact in fiscal 2027 and '28 from an earnings standpoint there.
Paul Kuntz: Thank you. And then we have another question. If Paramount doesn't win the bid to acquire Warner Brothers Discovery, does that influence Alliance's chance of getting a licensing deal with Warner Brothers?
Jeff Walker: I think those are totally separate conversations there. All the studios at some point, we believe in the future, will move towards a licensing model on physical media. And we are positioning ourselves to be the front runner as to the place that studios would move to. They all have different time frames and initiatives within their organizations. And so, but with respect to the Paramount, whatever happens with Warner, I don't know that that means one way or the other for us there. I will say, you know, that we just saw some more news today about David Ellison wanting to feature some more focus more on theatrical releases for Paramount. That is smack dab a home run for Alliance that they release a few more, you know, top tentpole theatrical releases that those movies roll into our, you know, DVD release after that. So we are optimistic with Paramount itself, whether they acquire Warner or not, but they are investing in content, and that investment in content will be a positive thing for Alliance.
Paul Kuntz: Thank you. And our next question, as you look ahead to the rest of fiscal 2026, what gives you the most confidence in Alliance's ability to sustain the strong margin performance that you've established over the past two quarters?
Jeff Walker: Well, the results that we've been producing the last two quarters are not—they're not a fluke. They're where our business is currently. We see a lot of strength in there. We have a lot of initiatives that we're working on for 2026, internal initiatives for organic growth and other opportunities to grow the business. So we're pretty bullish as to what we've got. You have to realize that I have an all-star team of people here at Alliance. It's not just me, and it's not just me and Bruce. I mean, we have a significant team of all-stars in all these different areas. And each one of these areas that Alliance is participating in, those leaders are running fast in those areas. And that's why you're starting to see this performance and the growth that we're putting together is because we've got a big team of people that are all running fast in their areas and working to add new customers, new sales, new product lines to their areas. That's all that's driving us forward here. And part of that too is we gotta remember that my entire team here is over 700 people that also have shares in the company. As we went public two and a half years ago, everyone on the team was awarded shares. And newcomers onto the team are in a vesting program for their shares. And so we have the entire organization focused on driving this business forward and growing the business and doing great work. And so that's what you're seeing. And I have no reason to doubt that our team's gonna continue to do that all through 2026 and beyond.
Paul Kuntz: Thank you. And we're coming up on an hour here. That was looks like the last question that came in. Any final comments that you would like to leave with the audience before we wrap up?
Jeff Walker: I'm just excited about what we're doing. We're on a roll. As I just said, we've got a great team. It's fun working with our team. Everybody's working hard, and we got a lot of fun stuff coming up. So I think that's where we're at. We're super excited to be able to put together good numbers and continue doing that and driving that forward. That's what we're working on right now. We're working hard on it. And thank you, everybody, for joining our call today.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.